Operator: Good morning. My name is Cara and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2007 Earnings Conference Call. All lines have been placed on mute, to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. Mr. Newman you may begin your conference.
Thomas Newman Jr. - Vice President, Corporate Relations: Thank you operator, and good morning everyone. We like to apologize for the slightly late start here and get right to business. First, welcome to our discussion of Teradyne's most recent financial results. I am Tom Newman; I'm joined this morning by our Chief Executive Officer, Mike Bradley; our Chief Financial Officer, Greg Beecher. Following our opening remarks, we will provide you with details of our performance for the second quarter of 2007 and for our outlook for the third quarter. First, however, I would like to address some administrative issues. Teradyne's press release concerning... containing our most recent financial results was sent out via Business Wire yesterday evening and is available on our website or by calling Teradyne's Corporate Relations office at 978-370-2221. This call is being simultaneously webcast over our website at www.teradyne.com. Note that during this call, we are providing some slides at our website that will summarize and reinforce some of the highlights. They may be helpful to use in following the discussion. To access them, simply dial into the investor portion of our site, click on Live Webcast followed by 'click here for webcast.' In addition, a replay of this call will be provided on our website starting around noon today Eastern Time. If it's more convenient, you can also access to replay of the call by dialing 1-800- 642-1687 in the US and Canada or 1-706-645-9291 outside of the US and Canada, and providing the passcode 6348562. Replays from both sources as well as the slides, I mentioned earlier, will be available through the 2nd of August. Investors should accept the contents of this call as the official guidance from the Company for the third quarter of 2007 and beyond. If at any time we communicate any material changes to this guidance, it's our intent to do so simultaneously to all investors to the best of our ability. Investors should note that only Mike Bradley, Greg Beecher and I are authorized to supply Company guidance. The matters that we discuss today other than historical information include forward-looking statements relating to future financial performance and other performance and expectations. Statements to inventory, bookings, backlog, orders, shipments, pricing, design-ins, and demand for our products, capital spending, market-share and other opinions of management. Investors are cautioned that forward-looking statements are neither promises nor guarantees, but involve risks and uncertainties that may cause actual results to differ materially from those projected in the forward-looking statements. Some of those risks and uncertainties are detailed in our filings with the Securities and Exchange Commission including, but not limited to, our Form 10-Q filed on May 10th, 2007. And we incorporate here the discussion of those factors. We caution listeners not to place undue reliance on any forward-looking statements which speak only as of the date they are made. While Teradyne is under no obligation to update the forward-looking statements made today. Any updates that we do make will be broadly disseminated and available over the web. We want to make clear to investors that our prepared remarks will be presented within the requirements of SEC Regulation G regarding Generally Accepted Accounting Principles or GAAP. Therefore, if we use any non-GAAP financial measure during the call, you will find the required presentation of/and reconciliation to the most directly comparable GAAP financial measure on the Company's website at www.teradyne.com, by clicking on Investors and then selecting "the GAAP to non-GAAP reconciliation" link. Also you may want to note that between now and our next conference call Teradyne will be participating in the Citigroup Tech Conference in New York on September 4 to 6 and the Bank of America Conference in San Francisco on September 17th through 19th. Now let's get on with the rest of the agenda. First our CEO, Mike Bradley will review the state of the Company and the industry in Q2 2007, and will provide guidance for Q3. Then our Vice President and Chief Financial Officer, Greg Beecher will provide more details on our financial performance for the second quarter and on our guidance for Q3. We will then answer your questions. For scheduling purposes, you should note that we intend to end this call at 11'o clock Eastern Time in time. Mike?
Michael Bradley - Chief Executive Officer and President: Thanks Tom. Good morning everyone. Thanks for joining us today. I would like to focus on two subjects with you this morning. The first is to describe what's behind our momentum in Semiconductor Test with a focus on where we're making headway independent of the overall market recovery. This will give you a feel for why we expect to increase our market share this year. And second, I will describe how we are positioning shipments for the third quarter, so you have a sense of the current business climate. I will also give you some flavor the issues we are seeing on the competitive front, without disclosing any specific customer names, of course. As always, I don't intent to comment on other markets we may enter in the future or to elaborate on new products until they are in use at initial customers. Now, as far as the numbers go for the second quarter, we posted revenue of $289 million and earnings of $0.14 per share. At $307 million, orders for the Company were up 25% subsequently. In Semiconductor Test, orders were up 28% from the first quarter with product orders up 38%. In our System Test group, orders were up 9%. So it was a solid show, of course, in the Semiconductor Test sector, with strong demand across a wide range of end markets. We saw particular strength in markets, as diverse as cell phones, bluetooth, automotive, broadband, power management, digital TV, baseband and optical disc drive devices. Our FLEX products hit an all time high in orders with nearly 200 systems added to the books putting our total unit sales now over 1,400 systems. Our IBM and fabless customers accounted for 54% of that demand with outsource, assembly, and test companies at 46% of the total; that's up 33% from last quarter for the OSAT. This means that this has been an OSAT led upturn for us so far, as we're now above our peak OSAT book rate of the last cycle. While IBM and fabless buys are only 60% of the last peak. It is important to note that Japan-based segments like image sensor and micro controller test, where we have been strengthening our position the last few years have so far not been big contributors to this cycle upturn. Obviously, some of our demand in the first half of this year comes from an overall market recovery, but a good piece of our order increase came from recent design wins. We added seven new names to our FLEX customer list in the quarter with our most notable wins in power management, digital TV controllers, cellular RF, and digital base stand applications. In addition, the FLEX is branching out inside our existing installed base and is capturing sockets where customers find the potential to standardize their test platform investments. In nearly every case, it's a combination of platform extendibility and throughput that's given us an edge. A year ago, some customers who were outsourcing tests were concerned that they couldn't find multiple sources where the FLEX was installed in volume. Now the FLEX installed base in 0-sets is nearly 400 with significant fleets in all of the top 10 assembly and test houses worldwide. As a result, we now have a very effective push-pull environment where Specifiers and Subcons are working together to load their systems. I hear a consistent message from OSATs that they intend to reduce tester variety in the future, and this will only occur through flexible multi-use platforms. On the J750 front, where we have over 2,500 systems installed worldwide, we had a flat quarter with fewer than 100 units ordered. And about 60% below the 200 of the 2006 peak quarter, and 50% below the average quarterly unit demand throughout 2006. So, once again our Q2 results were dominated by the FLEX. I do expect we will see renewed order rates for the 750 going forward for three reasons. One; it remains arguably the best small footprint high parallelism focused test values in the market. Two; we've introduced a new higher speed microcontroller test model this past quarter and its starting to latch as evidenced by recent press coverage. And three; the 750 will serve as a base for other new products going forward. So there is a lot of gas in the 750 tank and it'll certainly remain our largest installed base tester for years to come. In our Systems Test businesses, we have roughly flat sales and slightly improved profitability from the first to the second quarter and growth in booking is just short of 10%. In in-circuit test, we saw strength in the server and set-top box end markets which drove our TestStation product through the 1,000 unit milestone. Our Mil Aero orders were up modestly on a sequential basis. Automotive test was sequentially slightly up in orders and slightly down in sales as expected. Since, we are coming off a large search in shipments of our new vehicle measurement module in Europe and the US. During the quarter, the pending sale of our Broadband Test business to Tollgrade Communications was announced. We expect this transaction to close on schedule on Q3. Overall this will have little impact on the company, as BTD has represented between 1% and 2% of sales and even less in profit. The guidance for the third quarter will be for revenues in the $300 million to $320 million range and EPS of between $0.15 and $0.19. Given the responsiveness of our supply chain, we can move shipments up or down to match demand without piling up inventory or letting lead times move out very far at all. I should note that Semi Test order visibility is cloudier than this time last quarter. Some of that is normal seasonality where demand doesn't materialize until after the summer. Some is due to the extra capacity coming online as we speak and some is tied to a very cautious market short term; a market where device demand is uncertain and where CapEx pressure from the memory market is being felt. But on the plus side we have an SOC test market that's now operating at a quarterly $650 million to $700 million level. Well below last cycle's $850 million to $950 million peak. And we have a moderate buy rate level that's at 1.5% for the last six months. While the average for the last three years has been 25% to 30% higher. The net effect is that we aspect our SOC orders to be back loaded this quarter with many of those orders shipping early in Q4. So we are our raising Q3 guidance to match current demand yet staying position for more growth going forward. I am quite pleased with our results so far this year; in spite of a market that's recovering gradually and despite caution in IDM spending, we are nonetheless showing healthy growth in demand and we are making some important share gains. In other words, we are reaching a good cruising speed without hitting on all cylinders yet this year. In summary, we are solidly on course with our longer term plan, our focus remains on Semi Test and the large SOC sector and on continued financial discipline and how we run the company. We are now well into the FLEX era with a sizeable install base that will, I believe, continue to win share due to the systems merits in parallel test and instrument extendibility, coupled with the unrelenting drive by our customers toward less variety in their test platforms. Now, let me turn it over to Greg for more of the financial perspective.
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Thanks Mike, and good morning everyone. Our second quarter sales of $289 million, were up 14% from the prior quarter or diluted earnings per share of $0.14 exceeded our second quarter guidance of $0.08 to $0.13 per share. This bottom-line improvement from our guidance was primarily due to improved Semi Test gross margins. Total bookings of 27 million were up 25% from the prior quarter, led by 28% growth in Semi Test. FLEX bookings set a new record in the quarter with broad customer penetration and wide device coverage, with particular strength in RF, automotive, and power management. Before I go to the second quarter results and provide commentary on the third quarter outlook, I'd like to comment on two things. First, you should be aware that the financial results I'll cover today are expressed excluding our Broadband Test division results, as BTD is treated as a discontinued operation for all periods presented. Second, I'd like to take a step back in putting context where we are against our longer term growth plans. Strategically, first and foremost, we have been focused on building a strong core business in the roughly $3 billion per year system-on-a-chip test sector. This is meant, first, divesting businesses or product lines that are not core or expected to provide attractive returns inside of Teradyne; second, establishing a solid financial model that will deliver improved over-the-cycle profits and strong cash flow; third, fully exploiting our leading SOC test capabilities to gain share with high parallelism and platform extendibility; and lastly, leveraging our financial strength and existing platforms in SOC test to expand into closely adjacent markets. So, where are we in these four strategic initiatives? On the first, we have made good progress in refining the portfolio of businesses that are more closely aligned to our core test capabilities. Most recently, we reached agreement to sell our Broadband Test Business unit to Tollgrade Communications. As we've concluded that that business doesn't offer sufficient growth potential within our array of System Test Businesses. Moving to the second strategic initiative, we have made good progress on our financial discipline. In the last buying cycle that ran from the second quarter of 2005 to the first quarter of 2007, we achieved our highest ever free cash flow which totaled $272 million or 11% of sales over that same period. We expect to improve our profitability and free cash flow performance this next cycle through growing market share and maintaining strong financial discipline. Note that going forward we are reducing our quarterly breakeven range by $10 million to $240 million to $250 million this is at PBIT line and it excludes stock-based compensation ... and it includes stock-based compensation. Roughly half of this improvement is due to the sale of BTD and half is from other cost reductions. Now third, on fully exploiting our leading SOC test capabilities. We have been gaining share with FLEX and J750, and see further opportunities going forward. Our customers are continuing to drive for lower platform diversity, and at the same time they are unrelenting on improving tests economics. We are proving to have a very good value proposition here and are making steady progress steps socket-by-socket. The fourth strategic initiative of expanding into closely adjacent markets is one where we have much work underway but cannot, for obvious reasons, disclose the details. The essence of our strategy is to leverage our engineering investments into Semi Test markets where our base platforms can provide the foundation for a differentiated performance. You have seen the first evidence of this strategy in our J750 EX introduction last quarter into the high performance microcontroller test market. Each of our products, that is, the FLEX and the J750, operate very strong base; both technically and also now in market footprint to effectively execute this fourth component of our strategy. So in summary, our core business is doing well. We expect 2007 to be a share gain year. And we have the strength to make and we are making the longer term investments to get into closely adjacent markets through our existing platforms. So, what does this all mean to our model at this point of time, our average PBIT rate is about 10% or 11%; this includes stock-based comp. This assumes a normal $3 billion annual SOC test market. This is below our annual PBIT model of 15%, therefore we need to gain about 4 points of SOC test share to hit this 15% model. This assumes the normal SOC test profit drop through to about $0.50 to $0.55 on a $1. Although we are only at the halfway mark of 2007, we believe we're on course to add a point or more in SOC test market share this year. Now, apart from growth, we also expect further improvements in manufacturing cost by mid-2008, with the moving of printed circuit board assembly to our outsourced partner's China plant and the outsourcing to that same plant of final configuration and test. In short, we expect this to add about a point of gross margins. Now, let me take you through the details of the second quarter and then our guidance for the third quarter of 2007. Our second quarter, gross margin percentage was 47.5% of sales, up from 44.7% in the prior quarter, due primarily to lower manufacturing costs and higher sales volume. We have described in the past that gross margin should be about 49% at model sales. The second quarter gross margin performance is tracking to our model as for each $25 million of volume up to about $200 million; we expect to get another point of gross margin. R&D expenses were $52.4 million or 18.2% of sales as compared to $49.3 million or 19.4% of sales in the first Quarter. This dollar increase was primarily due to additional engineering to enter a closely adjacent market within existing platform. SG&A expenses were $62.8 million or 21.7% of sales as compared to $63 million or 24.8% of sales in the first quarter. Our net interest income was $9.2 million down from $9.7 million in the prior quarter due primarily to lower average cash balances. We have 3.5 of income-tax expense in the quarter and our quarter ending headcount remained at about 3,700 employees. In the second quarter, semiconductor sales were 79.9% of the total; assembly test; 14.3%, diagnosis solutions 5.8%. On a geographic basis, our second quarter sales in descending percentage order broke down as follows: US, 21%; Taiwan, 19%; Singapore, 15%; Southeast Asia, 15%; Japan, 11%; Europe, 10%; Korea, 7%; and rest of the world, 2%. We have net bookings of $306.6 million in the quarter. On a quarter-to-quarter basis our bookings were up 25%. Semiconductor Test product bookings were up 38%, while Semiconductor Test total bookings were up 28%. Assembly test was up 9% and diagnosis solutions was up 9%. Our book-to-bill ratios for the second quarter were 1.06 for the overall company; 1.12 for Semiconductor Test; 0.84 for assembly test; 0.76 for diagnosis solutions. At the end of the quarter, our backlogs stood at $344 millions of which 85% is scheduled to ship within the next six months. On a geographic basis, our bookings for the quarter, again, descending percentage order, will distribute as follows; Taiwan, 24%; Southeast Asia, 17%; US, 15%; Singapore, 13%; Korea, 13%; Europe, 10%; Japan, 7%; and rest of the world 1%. Moving to the balance sheet, we ended the quarter with cash and marketable securities of $884 million flat with Q1. We used $24 million of cash to repurchase 1.4 million shares at an average price of $16.70. Since the inception of our stock buyback program in the third quarter of 2006, we have repurchased 12.3 million shares at an average price of $13.46 totaling $165 million. This leaves us with a remaining authorization for our share buybacks of $235 million coming into the third quarter. In the second quarter, capital additions net of sales of related capital equipments were $12 million. Depreciation and amortization for the second quarter was $23 million including $6.8 million of stock-based compensation. Accounts receivables stood at $211 million or 67 days sales outstanding up from 60 days in the first quarter. This increase in DSO was due to the timing of shipments occurring later in the quarter. We ended the quarter with product inventory at $88 million, up $7 million from the last quarter. In the third quarter of 2007, as Mike mentioned, we expect sales to be between $300 million and $320 million with income from continuing operations between $0.15 and $0.19. Income from discontinued operations should be about $7 million or $0.04 from the disposition of the Broadband Test Business. We expect gross margins to be 48%, plus or minus, a half a point. R&D should run between 17% and 18%. SG&A should run between 21% and 22%. We expect to be down about $10 million in inventory dollars and accounts receivable to increase about $5 million. In addition we expect to spend $20 million or less on capital. In the third quarter our depreciation and amortization should be around $23 million including $6.8 million of stock-based compensation. Our tax rate is expected to be about 16% for the balance of 2007. Now I'll turn the call back over to Tom.
Thomas Newman Jr. - Vice President, Corporate Relations: Thanks Greg. Operator, we now like to open the discussions for questions.
Question And Answer:
Operator: [Operator Instructions]. Your first question comes from the line or Gary Hsueh.
Gary Hsueh - CIBC World Markets: Yes. Hi. Can you hear me?
Michael Bradley - Chief Executive Officer and President: Yes.
Gary Hsueh - CIBC World Markets: Hey, thanks for taking my question. I'm just going to ask the most obvious question with OSAT at 46% of total bookings. In your commentary, I think, last quarter about how it's roughly in eight months cycle between inventory correction period. Where exactly are we and how can we get comfortable about OSAT comprising 46% of total orders? What sort of the downside risk here is that number going down?
Michael Bradley - Chief Executive Officer and President: Gary, it's Mike. As I said you are correct, this is an OSAT led upturn for us. In the past they were as low as 20%, low-20% level and this is a high for the OSAT surge. Now part of that percent is, obviously, what IDMs have done, and the IDMs have been more in the sidelines so far in this recovery. The OSATs have ... are a little bit above ... about 15% percent above their last peak. So, obviously they have done their part but the main drivers for us which have always been over 15% of our booking's and the IDMs have been slower here in this upsurge. If your question is should we be concerned about overheating, I think you have to look at the total market, and the total market is gradually growing. So, I don't think we have got an overheated situation is the short answer.
Gary Hsueh - CIBC World Markets: Mike, if I could just ask the question in a different way. I don't think I asked it correctly. I was just wondering if you could kind of handicap what that 46% OSAT content would have been year at last year's market share position. I know that's something to do, but obviously you have been gaining share at the OSATs and the OSATs as you said are consolidating their tester fleet. I was wondering if you could handicap that 46% to a kind of historical terms?
Michael Bradley - Chief Executive Officer and President: Well I'm not sure what you are getting at, when we think about market share, Gary, we don't think about OSAT market share, because that's a complex mix of who is outsourcing. We look at market share on the Specifier basis.
Gary Hsueh - CIBC World Markets: Got it. Okay. I was just wondering about your market share at OSAT?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: We don't ... I don't mean to be slow on the uptake here but we don't look at it as an OSAT market share calculation.
Gary Hsueh - CIBC World Markets: Okay. All right, no problem. Thank you.
Michael Bradley - Chief Executive Officer and President: Sorry, if we're not getting at your ... maybe at the end if there is little more time come back and ask it and we will be --
Gary Hsueh - CIBC World Markets: Thank you.
Operator: Your next question comes from the line of Chris Blansett.
Christopher Blansett - JP Morgan: Hi guys thanks. A couple of things, how is your order linearity throughout the quarter. You get any rush orders and in general how are your utilization rates for your equipment in the field and kind of along the lines of what Gary asked. What are the utilization rates at Subcons versus IDMs, maybe that's part of the difference?
Michael Bradley - Chief Executive Officer and President: Okay. On linearity ... this was ... Q2 was a bit more back loaded. So, we were anticipating that there would be some very short demand which is why we leaned into the capacity and the guidance in the second quarter and we saw just that. But it was heavily back loaded. And number two, on utilization, utilization, if you recall in our last call, we said that utilization was had turned in the February timeframe, and it has been moving back up steadily all the way through this month. And that looks ... the projections by external prognosticators on this say that that's continuing up. We continue to see a difference between utilization at the IDM and at the OSATs that spread has closed, and while the IDMs maybe in the 90% level; the OSATs are trailing but are increasing. Now as they take on a large chunk of capacity here the obvious thing to watch for is dose anything move on the OSAT utilization rate, but they've trending up since about February.
Christopher Blansett - JP Morgan: Then one quick last question on share repurchases. You guys maybe repurchased some stock during the quarter but at your current quarterly cash generation rate. I mean the way the share repurchase have been going, you never really going to catch-up. I mean at some point in time should we expect a large onetime share repurchase out there?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Well we are about half way through the program and we have bought back 165, that's against 400, so we're a little bit behind, I guess, $35 million behind where you might expect us to be precisely. So, we are going to continue the program for the duration of the next year, and we would expect to buyback at a higher rate than we did this past quarter.
Christopher Blansett - JP Morgan: All right. Thanks a lot guys. I appreciate it.
Operator: Your next question comes from the line of Satya Kumar.
Satya Kumar - Credit Suisse: Yes. Hi. Thanks for taking my question. Just wanted to follow up on the couple of previous questions. It seems like you had a pretty good backend loaded quarter. It seem like you, sort of, we're sounding cautious ... what has changed in the market in this three weeks into this quarter that you feel that Q3 might end up being more backend loaded quarter. Could you point to any specific area in the end markets or maybe across IDMs or OSATs that has gone softer that you, you sound a bit conservative on your September outlook?
Michael Bradley - Chief Executive Officer and President: Satya the thing that's different is really only that we expect this to be equally back-loaded and so as we size this quarter up. We're going to respond to the demand that is visible to us plus some uncertain demand that we think is coming because utilization rates are so high. But this is ... that the uncertainty in the market is up a tick from where it was three months ago, but I don't think we're playing this conservatively; we are setup so that we can move up to respond to that and we have increased our shipments accordingly.
Satya Kumar - Credit Suisse: Where is that uncertainty coming from, which end markets or customer segment do you see a bit more uncertain right now?
Michael Bradley - Chief Executive Officer and President: It's not market specific is much; if you talk to the customers the OSATs have put a lot of capacity in, they're going to push that and load that, and everybody is playing it ... continues to play it very tight. As I look at this and look at the utilizations continuing to go up, I think the forecast would suggest that this can keep moving up. The other piece is that the overall size of the market ... we haven't come to the midpoint in the average size of the market per quarter. We've had three quarters now that have been below the average over the cycle size of the market. So, all of those things argue for continued strength. But we are in the summer, the summer usually is a very quite period and I think that these ... the increase that we might see in Q3 would be satisfied in our shipments in Q4.
Satya Kumar - Credit Suisse: Great. I mean, when you look at this pick up that you are seeing at the OSATs and IDMs in Q2, and this sort of outlook for Q3, is what you are seeing more seasonal than cyclical; you see this in Q2 and Q3 every year and maybe sort of back in Q4 and beyond?
Michael Bradley - Chief Executive Officer and President: Actually there isn't the kind of seasonality that it feels as if there is, what I mean by that is all of us sense that and we tend to see strong Q2s in order to do the build for the end of the year. In truth, in the last three cycles the peak quarters for us have been either Q1 they have been Q4 and they have been Q2, in the last three cycles. So, I would think more ... less of this as a seasonality issue and more where the industry is in the cycle and we are on an upturn gradual increase in the cycle and that tends to overwhelm issues around seasonality.
Satya Kumar - Credit Suisse: Okay. And my last question, I might have missed this, your gross margins came in at 150 basis points above your midpoint. Could you walk through what was the variance driving that was it both FLEX and the product mix that helped you, or what happened there?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: We had lower manufacturing cost this quarter. We have been driving down our indirect and our manufacturing cost over long period of time. We've also been lowering our material costs and some of that has started to show up in this quarter's gross margin.
Satya Kumar - Credit Suisse: Great. Thanks so much.
Operator: Your next question comes from the line of Dave Duley.
David Duley - Merriman Curhan Ford: Yes, good afternoon, congratulations; or good morning and congratulations on a nice quarter. I was wondering if you could talk about what's, where FLEX lead times are now and how they have changed over the last quarter? And then also what would be your cash flow generation target for this upcoming quarter?
Michael Bradley - Chief Executive Officer and President: Dave, it's Mike. We have been working very hard to make sure that we keep our FLEX lead times in single-digits. Six to eight week lead times are what we are shooting for. As you know we've got a much more efficient manufacturing cycle and we have worked very heavily with our main suppliers so that we can flex the capacity up or down very quickly. So, in spite of the fact that we had a record quarter in FLEX bookings, we are keeping those lead times in check.
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: On the second question, the free cash flow, I would expect that to be over $25 million so, say, $27 million in that neighborhood in the third quarter?
David Duley - Merriman Curhan Ford: Okay. And then one final thing from me is obviously your products bookings in Semi Test were up, nicely ... up I think for 38% number that you highlighted, and you gave all the geographic regions but I don't have the comparison numbers to compare. Could you talk about which regions were the big drivers of that sequential growth on product and maybe, can you give a little bit more information or more specific information about a couple of device types that might be driving that; I am assuming that some of your big customers Broadcoms and the Qualcoms of the world. But maybe you could talk a little bit more about it?
Michael Bradley - Chief Executive Officer and President: Well from a regional standpoint it maps pretty closely to where the OSATs are located. So, we have very good bookings strength in Taiwan and South Asia, relatively weaker in terms of the percentage of bookings in the US and Singapore; Korea also strong for us this quarter. Going forward we see Europe and the Taiwan, China segments likely to be down this coming quarter with the US and Japan rebounding. Now, in terms of segments very, very strong growth for us in our RF segment, as we said before automotive, baseband, optical disc drive devices; those were all very strong sectors for us. We expect to continue to see very strong RF Business and we probably ... at this point, as we look out, the places that have been softer for us with microcontrollers, we expect that to get stronger in the second half of the year and likelihood that image sensor may get stronger perhaps in the fourth quarter versus the third quarter. So, those will become some of the segment stories.
David Duley - Merriman Curhan Ford: Thank you.
Operator: Your next question comes from the line of Timothy Arcuri.
Timothy Arcuri - Smith Barney Citigroup: Hi guys. Two things, number one, we had heard some chatter that the new LCD driver tester had pushed out a little bit. Pushed out may be six months, nine months in terms of shipments and that maybe that tester might not derive meaningful revenue until the end of next year. What's your current update on that product and what the kind of push and pulls are there?
Michael Bradley - Chief Executive Officer and President: Well, let see. Update on the product is that we are not talking in any detail about the product, the thing I have mentioned on the last call was that this year we have 750 based product expansion, we've introduced the 750EX microcontroller version of that product, so that is how that's at customers and we will introduce products going forward when we have got penetration into lead customers. I had also mentioned that as you know that we intended to use that platform base of the 750 for next generation product and image sensor and for an entry into the LCD market. So that's the extent of disclosure on those two other segments. Schedules, products, development schedules we're not disclosing, obviously, I'll say the work we are doing in those segments with customers continues unabated, so we are continuing forward in both of those segments, but you'll hear more about those later when we are into customers.
Timothy Arcuri - Smith Barney Citigroup: Okay, I guess, let me ask it maybe just in a different way, so it seems like maybe coming of the last call, it seemed like some of the new products could drive something like $80 million a year in kind of incremental sales, something in that range. Is that ... and it seems that maybe while that number has pushed out a little bit, is that still the right overall number?
Michael Bradley - Chief Executive Officer and President: The ... let's see, I'm not sure how got the 80 but maybe I can help by reinforcing that two of those segments of those three we're already in. So it'll be a little bit hard to discriminate between how much the new product gets in share and how much the existing J750 product gets. So, obviously the first two segments of microcontroller and image sensor will be holding in and expanding inside existing customers mostly. The LCD market, we size at around 10% of the total market about $300 million and we've got a overall market share of little bit north of 30%. So, obviously if you get to that level you can hit the kind of numbers that you are talking about.
Timothy Arcuri - Smith Barney Citigroup: Okay. And I guess last thing, what do you think is the tax rate going to be next year, it seems like you have kind of chewed through the NOL. So it seems like the tax rate is probably going to go up to the corporate maybe 26% to 28% next year and if that's the case what quarter do you think that that it would go up? Thanks.
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Okay. First of all the tax rates for the balance of this year is about 16%. What would likely happen at some point, and it could be as early as the fourth quarter of this year or it could be later say Q2 of next year, we would likely put back on our books that deferred tax assets that we wrote off and we have over $250 million of NOLs that are still available that we could use this to reduce the taxes we would otherwise pay, but on our accounting we would have to put these on our books at some point. And once we do that we go to a more natural rate and I think we said in past calls that's 26%, 28%. Over a longer period of time, we would expect to take that down a little bit, but I think as guidance for the next couple of years, I think 26% to 28% is probably good and while we are able to not book this deferred tax asset, a tax rate guidance of 16% is probably okay. I will be very surprised if we are in 2009 and we were not at 26% to 28%. I think, sometime in 2008 we would likely put this valuation allowance and be at the 26%, 28%.
Timothy Arcuri - Smith Barney Citigroup: Okay. So just to clarify, so the write-back that you will have to the balance sheet will be some where in that $350 million?
Michael Bradley - Chief Executive Officer and President: Yes.
Timothy Arcuri - Smith Barney Citigroup: Okay. Thanks.
Operator: Your next question comes from the line of Mehdi Hosseini.
Mehdi Hosseini - Friedman, Billings, Ramsey: Yes, a couple of questions. First, Greg what was ... what would be the tax rate without the options and then a couple of questions for Mike. First, I see your non-Semi bookings were up single-digit and historically as you move from Q1 to Q2 seasonality kicks in and it's been up a lot more, does that mean that some of that bookings may trickle into Q3 and that would balance any weakness from OSAT CapEx. And then the last and final question, you mentioned that Japan is going to come back in Q3 and microcontroller is going to be driving that, does that cause any ASP difference for your Semi Test on a blended basis versus the strength in FLEX that was in the Q2, in other words to what extend the ASP from microcontroller would impact the bookings?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Okay, Mehdi, why don't I go first, your question was whether tax impact be with excluded [ph] options? Is that right?
Mehdi Hosseini - Friedman, Billings, Ramsey: Yes.
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Okay.Well the options ... are you talking about option in prior years or going forward?
Mehdi Hosseini - Friedman, Billings, Ramsey: No, no, just option expense, I am just trying to calculate earnings without the impact of options?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Okay, maybe, I should do that for you offline, I think can tell you about the cost is our option expense is very low right now.
Mehdi Hosseini - Friedman, Billings, Ramsey: Okay.
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: It's very low. So, I think the impact would be negligible, but we have restricted stock unit there would be tax consequences on that. So, maybe offline I can help you with the other schedule.
Mehdi Hosseini - Friedman, Billings, Ramsey: Got it. Okay. Thank you.
Michael Bradley - Chief Executive Officer and President: Mehdi and your other two questions. The non-Semi Test ... the Systems Test businesses are far less seasonal story than they are program based story. So, the changes that you see quarter-over-quarter there really are typically tied. Aside from the In-Circuit Test business which is lots of units of In-Circuit Test; the other businesses Mil Aero and Diagnostic Solutions in the automotive space tend to be program based. If you think back over the last year or so, big deployment in Automotive and in our VMM business, Vehicle Measurement Module business, that created a surge in '06 for that business. As we mentioned last quarter, we have gotten into the commercial airlines tests business in the Mil Aero space, and that will be another bump in future business for us. So, I don't think about the Systems Test business as a orderly or seasonal phenomenon as much as I do in a program based cases. On the ASP side, certainly if the 750 becomes a larger piece of our mix, that's a much lower cost platform, small footprint, lower cost platform. So, to the extent that we get a resurgence in those spaces, partly driven by the extents of installed base and partly driven by the new products. Yes you'll see ... arithmetically you'll see a decline in ASPs. But, that's the nature of the beast; as you get a different mix with a focused tester versus a general purpose tester. But I wouldn't take much ... with regard to that.
Mehdi Hosseini - Friedman, Billings, Ramsey: Sure. There is so much of focus on the Semi Test. But give me some idea how you see the demand on the non-Semi Test in the second half of this year?
Michael Bradley - Chief Executive Officer and President: Well let's see, the way we think about it is we are trying to built the healthy portfolio of businesses their, that operate for the next year or so in the ... between ... around $60 million to $70 million a quarter, which sometimes In-Circuit being the leader and other times in Mil Aero space and Diagnostic Solutions changing the order of contribution to that $60 million to $70 million. That's the modeling I would do with it, the other piece is we continue to push those divisions northward in profit contribution. In the past, they were a drag on the company and now we are just insisting that those businesses are structured in a way that they contribute more heavily to the bottom line, but I think that sizing would be what I use in the model going forward with some lumpiness, obviously, factored in.
Mehdi Hosseini - Friedman, Billings, Ramsey: Got you. Thank you.
Operator: Your next question comes from the line of David Egan.
David Egan - Lehman Brothers: Hi guys. Thanks for taking the question. I was wondering about the ... your comment about CapEx pressure from the memory market, what is that reference in particular?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Well it's ... that was more intended to be kind of tone-off what I mean by that is there is a general broad hesitation out there about CapEx across the board, a lot of that comes from the memory space, but SOC is not immune from those kinds of pressures. Now obviously a company that is a pure play in memory, there is no affect in the SOC segment but on the combination companies that have both memory and SOC, there is ... we feel the concern and it trickles through in the form approval for CapEx and so on.
David Egan - Lehman Brothers: So we might see that like in the image sensors and things like that?
Michael Bradley - Chief Executive Officer and President: No, I think those are more specific to the end markets and to the transitions and technology of the devices in there. I was just trying to pass along that we are not immune from what's going on in the memory space and it does have some, what I'll call, atmospheric affect. I don't think that the indicators, in terms of SOC unit growth with the buy rate or the where the recovery is at this point in time, any of those ... none of those argue in favor of a softening on the SOC side. But the summer phenomenon, the backend loading we saw just last quarter and the overall CapEx concern puts a litter flavor of ... higher flavors of uncertainty in the very, very short term. Longer term I don't ... I wouldn't put as much stock in that.
David Egan - Lehman Brothers: Okay, no problem. This is a question for Greg, I didn't, I don't think we got all the information that you are talking about with the breakeven. And then also the ... what was the gross margin, first of all, the gross margin guidance for this quarter?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Okay. The guidance was 46% plus or minus a half a point.
David Egan - Lehman Brothers: I am sorry, for September?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: For the second quarter?
David Egan - Lehman Brothers: No, for the third quarter ... I am sorry ... the guidance?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: I am sorry, the third quarter, okay. 48% plus or minus a half a point.
David Egan - Lehman Brothers: Okay. And then when you are looking at the SG&A it looks like it is going to be up quarter-to-quarter. What is the ... I guess this is about the same percentage... but what is that driving the increase in the SG&A is it just basically variable comp?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: The variable comp is a single most significant piece, there is also a new order entry system that's getting implemented but it's really variable comp.
David Egan - Lehman Brothers: Okay, fine. And then back to the question I was asking before about the breakeven, should ... where should we expect ... as the breakeven comes down, what should we think about the gross margin; how should we start modeling that?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: If we get to what we expect to get to our 50% profit rate which takes some amount of SOC test share gain, we would expect to be at 49% gross margin, on average, over cycle; sometimes above, sometimes below but that would be the target that we set ... we are tracking to it. What we do need to do is get some modest growth as we've made a number of investments in engineering that gets us access to new markets. So with that playing out we should be able to get to the 49%. And the SOC test share gains will also get us there. So, I think 49% is looking better than it did a year or two ago when we said this. It looks very much line-of-sight target.
David Egan - Lehman Brothers: Okay. And the ... on the prior call you had mentioned that you thought that the R&D would pick up in the second half of the year, is that still on track for what we should be should be expecting?
Michael Bradley - Chief Executive Officer and President: Correct, it's picked up and it's to enter the new adjacency within existing platform.
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: So, that's an opportunity that we see is very attractive and we are very far along with some customers on that. I don't see that as a necessarily a permanent up-tick; that should come down later.
David Egan - Lehman Brothers: And then finally, from the last call I think we remember the way we were thinking about the tax rate was that you'd be doing buybacks also and then maybe that was going to offset some of the higher tax rate. Do you think you have said in terms of you EPS. Do you think that would be something we should consider?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: Well we are going to do buyback simply because, we have ... we think Teradyne stock is a good buy and we have excess cash. The tax situation itself is somewhat tied to how you capitalize the balance sheet. Meaning, if five years down the road we wanted to have far less cash and more debt on the balance sheet then from a weighted average cost of capital perspective it makes more sense to have debt on the balance sheet. I don't know how I should get that but [ph] what I am trying to say is the tax and the balance sheet capitalization do connect to one another. The only other way I'll try to say quickly is, if we had a leveraged balance sheet now we wouldn't get much of an advantage from a weighted average cost of capital because our tax rate is so low.
David Egan - Lehman Brothers: I remember that you had mentioned this last quarter, and I guess a takeaway was if possible that you are going to re-level the balance sheet later in the year or next year and that would help lower the tax rate?
Michael Bradley - Chief Executive Officer and President: I think we do that over a longer period of time and that would lower the weighted average cost of capital; not the tax rate itself. The tax rate we're lowering independent and at some point we are getting the tax rate that is a sustainable rate given our mix of businesses and where the work is done. But the opportunity for us, like many other technology companies, is can you lower the weighted average cost of capital ... maybe this is too theoretical, but there is models out there that would suggest if you could lower the amount of capital in the business. The investor can get a better return.
David Egan - Lehman Brothers: Right, now that makes sense, do you have a target where you would like to get the long-term tax rate?
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: The long term tax rate, the target would be about 25% to 27%.
David Egan - Lehman Brothers: Okay.
Gregory R. Beecher - Vice President, Chief Financial Officer and Treasurer: And that's in part because we have non-Semi Test business; Semi Test itself would much lower, yet other non-Semi Test businesses would be at a higher tax rate, still profitable, still making the contribution.
David Egan - Lehman Brothers: Thank you, guys.
Thomas Newman Jr. - Vice President, Corporate Relations: Operator we'll take the last question.
Operator: Your next question comes from the line of Tim Diffely.
Tom Diffely - Merrill Lynch: Hey. Good morning. I was hoping, you can give us a feel for which members FLEX family were doing the best at this point?
Michael Bradley - Chief Executive Officer and President: Tim the RF-based systems have been really the leading the charge here in the last quarter and we expect them to be pretty strong through this coming quarter, that's the standout product ... obviously we've got, Tom, I mean, not Tim. Tom, we've got a family here of FLEX, micro-FLEX and ultra-FLEX. This last quarter it was more the mid-range performance product, the FLEX product led, but the real significant element is that it's been RF-based which has led the charge.
Tom Diffely - Merrill Lynch: Okay. And on average ... in general, do you think your business in the RF world has improved or decreased over the last couple of quarters on a competitive front?
Michael Bradley - Chief Executive Officer and President: We've had some wins in that space. We think we are very strong and in it. And while there is a lot of competition in that space, there are two things in my view that go on there. One is the integration of technology including RF elements on SOC devices, means that is not just a pure RF instrumentation story. So costumers are valuing the extendibility of the product and the ability to add a variety of instrumentation to their systems. And then it's a cost of test battle and throughput and the parallelism on the FLEX has proven to be important in that respect.
Tom Diffely - Merrill Lynch: Okay. And if the market moves back towards the IDMs over the next couple of quarters, that change the profile of which systems you might be shipping out?
Michael Bradley - Chief Executive Officer and President: Not discernibly, I think we give a pretty consistent mix, and the reason I say that is that all of our customers now are, kind of, converted to FLEX and J750. The one addition I would make is, if, as I said before, if microcontrollers and image sensors come back stronger, which we expect, that they will, then obviously that changes the mix to a heavier J750 element.
Tom Diffely - Merrill Lynch: Okay. Thank you.
Thomas Newman Jr. - Vice President, Corporate Relations: Operator we are completed.
Operator: Okay. Do you have any closing remark, sir?
Michael Bradley - Chief Executive Officer and President: No, thanks everyone for joining us. We'll talk to you next quarter. Thank you very much.
Operator: This concludes the second quarter 2007 earnings conference calls. You may now disconnect.